Operator: Good day, ladies and gentlemen, and welcome to the Casella Waste Systems, Incorporated Q3 2016 Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I'd like to introduce your host for today's conference Mr. Joe Fusco. You may begin.
Joseph Fusco: Thank you for joining us this morning, and welcome. With us today are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems; Ed Johnson, our President and Chief Operating Officer; and Ned Coletta, our Senior Vice President and Chief Financial Officer. Today, we will be discussing our 2016 third quarter results. These results were released yesterday afternoon. Along with a brief review of those results and an update on the Company’s activities and business environment, we will be answering your questions as well. But first, as you know, I must remind everyone that various remarks that we may make about the Company’s future expectations, plans and prospects constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by those forward-looking statements as a result of various important factors, including those discussed in the risk factors section of our most recent annual report on Form 10-K which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today. Also, during this call, we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures to the extent they are available without unreasonable effort are available in the appendix to our Investor slide presentation, which is available in the Investor Section of our Web site at ir.casella.com. I’m Joe Fusco, and I approve this message. With that, I'll turn it over to John Casella, who will begin today's discussion.
John Casella: Thanks, Joe, and good morning, everyone, and welcome to our third quarter 2016 call. We are obviously very pleased with the third quarter results. As reported in yesterday's press release, our revenues for the third quarter were $151.1 million, up 3.4% from last year. Adjusted EBITDA was $37.1 million, up 12.2% from last year and adjusted EBITDA margins were 24.6% up 190 basis points from last year, highest margins in six years. Year-to-date we are well ahead of our plan through due to the strong pricing, operating efficiency programs and continued execution against our key strategic initiatives. As such, we've increased our adjusted EBITDA and free cash flow guidance ranges for the year and indicated that we will be at the high-end of our revenue guidance range. Ned will go deeper into the numbers in a moment. But first, I’d like recognize that these strong results are tangible evidence to our commitment and continued execution against our key strategies. Our continued success in consistently improving results are a testament to a dedicated team and the process and discipline we’ve established throughout the organization to focus time and capital resources and the key drivers of our business. In early 2013, we raid out a comprehensive strategy to improve our financial and operating performance. Pursuant to that plan, we’ve refocused the Company, while simplifying our business structure. We’ve reduced risk exposure by either divesting or closing operations that did not fit within the strategy and we’ve refocused management's attention and capital resources on our core operations and strategic business initiatives. Given our progress and success executing against the plan, in August 2015 we refreshed our comprehensive strategic plan and outlined four investors financial targets for 2018. This plan focuses on increasing landfill returns, driving additional profitability within our collection operations, creating incremental value from resource solutions and reducing financial and operational risk while improving our balance sheet. We are confident that our enhanced process discipline and continued focus on key operating strategies will further drive improved performance and increased free cash flow enabling us to continue to delever our balance sheet. In the third quarter, our operating income and disposal line of business, which represents the first of our key strategies, increasing landfill returns was up 16.3% with margins up 205 basis points as pricing offset slightly lower volume. As expected, our volumes in the disposal line of business were down 3.1% in the third quarter as we plan -- as the planned diversion at the Southbridge landfill reduced volumes into this site, and energy related waste streams were down in the Marcellus shale region. While we expect these specific volume headwinds to persist into 2017 until we anniversaried, tough comparable all other landfill volumes were up a 103,000 tons or 10.3% year-over-year with strong volume trends in the Eastern region and C&D volumes, which were up 15.1% on heightened activity. Disposal capacity continues to tighten in the Northeast market as permanent site closures are reducing capacity and stronger economic and construction activities are driving higher volume. Given the supply and demand imbalance, we're able to successfully advance 2.7% price at our landfills in the third quarter, our strongest pricing in the last five years. We believe that this positive pricing backdrop will continue into the future as additional site closures are expected over the next several years. and as we roll-off multiyear contracts, we expect to advance pricing and that does the PPI on larger percentage of our book of business. On the landfill development side, we've had several significant permitting successes in 2016, including an annual permit increase at our Highland landfill from 312,000 tons per year to 465,000 tons per year, a 13 year airspace expansion at our Ontario County landfill and a 14 year airspace expansion in annual permit increase from a 180,000 tons per year to 417,000 tons per year of MSW at our Chemung County landfill. Underlying the success of each of these permitting activities is our deep commitment to develop and run our facilities to the highest environmental standards, while maintaining strong partnerships with the host communities. This has been our recipe for success in developing the long-term environmental asset in a challenging Northeast environment. We are currently working on several other key landfill permitting and development projects including our expansion efforts at the Juniper ridge to south with land fill. We are permitting to expand the state owned Juniper Ridge landfill by roughly 9 million cubic yard to extending the life of the site to match our long-term operating and lease agreement that goes through 2033. We continue to make slow, but steady progress in advancing our permit activities for the next landfill solid Southbridge we have intentionally slowed volumes into the site by roughly 33% in 2016 to give our team additional time to complete permitting activities over the next three years. We currently have permitted capacity through 2019. Further we have been working with the key community leaders in Southwest [indiscernible], the long-term strategy for the next stages of development of site. Second strategic initiative improving profitability from our hauling operations, our focus here is on core blocking and tackling namely a focus on pricing programs, road optimization, and fleet standardization. Operating income in the collection line of business was up 24.5% with margins of 320 basis points, as pricing and operating efficiency drove results. Within the context of this rapidly improving marketplace, we’ve continued to advance hauling prices in the residential and commercial lines of business with only a limited price rollback. In the third quarter, combined residential and commercial collection pricing growth was 4.2%. On the operating side, we continued to advance a number of key initiatives to further improve our operating costs in the collection line of business. In the third quarter, we improved our collection cost of operation as a percentage of revenue 455 basis points year-over-year. This improvement is being driven by our pricing programs coupled with positive cost impact from our five-year fleet plan, maintenance initiatives, improved fleet routing, and efforts to swap or develop underperforming routes. Resource solutions, third strategy. Moving into the third strategy incremental value through resource solutions, here we differentiate ourselves in the marketplace by offering value-added resource services. These solutions range from our first customer solutions group, which provides professional services to large industrial customers, to our organic business that is the leader in organics processing and disposal in the Northeast to our market-leading recycling business. While recycling commodity prices are up 16% sequentially from the second quarter to the third quarter, our average commodity revenue per ton is still roughly 40% below multiyear high experienced back in second 2011. However, despite recycling prices being 40% below multiyear high, our third quarter operating income margins and returns were almost at the same level. These results are a clear indication of how we’ve effectively reshaped the recycling business model to generate an appropriate return on our infrastructure investments through all the market cycles. This effort has been -- this effort has included the implementation of higher tipping fees at our recycling facilities and the introduction of our sustainability recycling adjustment, or our SRA fee. Balance sheet and risk. We also continue to make substantial improvement in our balance sheet and reducing operational and financial risk. On October 17, we completed the refinancing of our senior subordinate notes and revolver with a new credit facility and term loan B. It's a was very favorable transaction for our shareholders which will create substantial value to reduce cash interest cost and improve financial flexibility. We are well positioned for the future and committed to a disciplined capital investment strategy with free cash flow primarily used to repay debt or in select instances we may consider small tuck-ins acquisitions and growth investments within our core operations. We continue to execute extremely well against the strategic plan that we laid out in August of 2015 to improve our financial and operating performance. At all levels of the organization, we're devoted to operational blocking and tackling, with a focus on pricing strategies at the local level, improving our operational efficiencies, and disciplined capital allocation. We believe these actions will further improve the Company's performance and allow us to continue to delever the balance sheet going forward. With that, I'll turn it over to Ned to take us through the financials.
A - Ned Coletta: Thanks, John. Revenues in the third quarter of 2016 were $151.1 million, up $4.9 million or 3.4% year-over-year. Solid waste revenues were up $2.3 million or 2.1% year-over-year, with higher collection disposal pricing and a rollover impact from the acquisition of three transfer stations in the second quarter partially offset by lower solid waste volume. Revenues in the collection line of business were up $2 million year-over-year with prices up 3.7% and volumes down 0.5%. Pricing was up 4.2% in our residential and commercial lines of business in the third quarter. We also advanced pricing 2.6% in the roll-off line of business. Our volumes were down slightly in this line of business, as we continued to focus on price over volume. Revenues in the disposal line of business were up $0.2 million year-over-year or $200,000 year-over-year with landfill and transfer revenues up $1.3 million, plus transportation revenues were down $1.1 million. Transportation revenues are typically at lower margins and represent mainly pass-through transportation costs associated with transportation and disposal contracts or as we say T&D contracts. We increased third-party reported landfill pricing by 2.7% year-over-year in the third quarter, with landfill prices up 3.6% in the Eastern region as we continue to capitalize on the tightening disposal markets. We've also begun to advance landfill pricing in the Western region, with landfill pricing up 2.1%, with particular strength in the construction and demolition material segment. We expect these same positive pricing trends to continue through the rest of 2016 and into 2017. Our total landfill volumes were 1.2 million tons in the third quarter, up slightly year-over-year. As John said, during the third quarter, we continue to ramp down volumes at the Southbridge landfill with volumes down roughly 70,000 tons. Further, we continued to experience headwinds in the Marcellus region, as volumes associated with natural gas drilling activities were down roughly 27,000 tons year-over-year. Excluding these two impacts, our volumes were actually up 103,000 tons year-over-year or 10.3%. Recycling revenues were up $1.7 million year-over-year in the third quarter with the improvement driven by higher commodity pricing. Average commodity revenue per ton was up 21.1% year-over-year and higher fiber pricing -- this is actually partially offset by lower plastics and metals pricing in the quarter. Organics revenues were up $0.5 million year-over-year in the third quarter on higher volumes as our team continued to source new streams of biosolids into ever-tightening Northeast disposal markets. Our customer solutions revenues were up $0.5 million year-over-year in the third quarter with continued growth in the industrial services business unit. Adjusted EBITDA was $37.1 million in the quarter up $4 million year-over-year with margins improving 190 basis to 24.6%. So, with revenue up $4.9 million and adjusted EBITDA up $4 million, that gave us a flow-through impact of roughly 82%. This is direct evidence of our success in shedding less profitable volumes or low margin volumes while at the same time we're securing price increases and cutting operational costs. Solid waste adjusted EBITDA was $33.9 million in the quarter, up $3.6 million year-over-year in the quarter. We achieved 11.9% adjusted EBITDA growth and 2.1% revenue growth. Solid waste adjusted EBITDA margins were 30.1%, up 265 basis points year-over-year in the third quarter. This reflects strong pricing, coupled with cost efficiencies. Lower fuel costs benefited margins by roughly 50 basis points in the period, while increased recycling tipping fees were a 15 basis point headwind. Netting these two factors, we had about 35 basis points of tailwind, a small piece of the 265 basis point margin improvement. Hauling adjusted EBITDA was up $2.3 million year-over-year with margins expanding 255 basis points and disposal adjusted EBITDA was up $1.6 million year-over-year with margins expanding close to 200 basis points. Recycling adjusted EBITDA was $2.6 million in the quarter, up $1.2 million year-over-year with improvement mainly driven by higher commodity prices coupled with processing, operational improvements. Adjusted EBITDA was slightly down in the other segment as higher G&A costs mainly driven through higher incentive comp accruals. Cost of operations in the quarter was down $900,000 or 280 basis points year-over-year. General, administrative costs as I said earlier, were up $1.3 million year-over-year with all of this increase driven by higher incentive compensation accruals and better performance. Moving on, as John mentioned, on October 17, we refinanced our ABL revolver due 2020 and our 7.75% senior subordinated notes due 2019 with a new $160 million revolving credit facility and $350 million term loan B. With great timing and great execution with this transaction and -- we achieved a very good outcome for our shareholders. Leading up this transaction, we’ve received a ratings upgrade from Moody's from a corporate family rating of B3 to B2. This helps to affirm our continuing progress at improving our operating results and reducing leverage. The term loan B was significantly oversubscribed and we're able to price at 99.5% of the principal amount with a interest rate of LIBOR plus 300 basis points, with a 1% floor. In addition, we added a rate step down for the term loan B where the interest rate will drop to LIBOR plus 275 basis points when our consolidated net leverage ratio drops to 3.75x or less. The revolver is initially priced at LIBOR plus 300 basis points with a pricing grid based on our consolidated net leverage ratio. We believe this transaction positions us very well to continue to execute against our strategic plan by reducing our cash interest cost by $11 million a year. It also improves our financial flexibility. The term loan B is prepayable at par, which allows us to continue to delever the balance sheet and we extended our debt maturity. As of September 30, 2016, our consolidated net leverage ratio as defined by our new credit facility was 4.23x. This was down 1.19x in just 21 months. We are doing a great job taking leverage of our business. Pro forma for the refinancing, our leverage clicks up a little bit. If you look at pro forma for September 30, it would have been 4.41x. We do expect to record a loss on debt extinguishment of approximately $13.6 million during the fourth quarter associated with call premium on the redemption of the sub notes, the write-off of deferred financing costs, and unamortized original issue discount on the sub notes, along with certain other transaction costs. We do remain focused on driving leverage down. We're targeting a leverage level of 3.25x to 3.75x by the end of 2018. As expected in the third quarter, given our operational working capital seasonality, normalized free cash flow was $5.1 million and $14.9 million year-to-date. As stated in our press release yesterday afternoon, given our strong pricing and cost efficiency execution year-to-date, and our increased visibility into remainder of the year, we’ve increased our adjusted EBITDA and normalized free cash flow guidance ranges for the year, and we expect our revenue to be towards the upper end of our previously announced range. We adjusted our -- we increased our adjusted EBITDA guidance for the third time this year to a range of $116 million to $118 million. Original guidance that we first went out with back in March was for a $111 million to $115 million. We also increased our normalized free cash flow guidance from the previous range of $20 million to $24 million to the new range of $20 million to $25 million. As we announced in late September, given the refinancing, we shifted our free cash flow guidance this year to a normalized free cash flow guidance range to eliminate cash interest timing differences related to the refinancing of the sub notes. Previously interest was due on the sub notes on February 15 and August 15 each year. As such, in our plan for the year we had assumed we will accrue interest from August 15 to December 31 and then pay this cash interest on February 15, 2017. However, as part of the refinancing we had to pay $6.8 million of accrued cash interest on October 17 when we issued the redemption notice for the bonds. This was not a increase in cash interest costs, merely a change in timing. So with a normalized free cash flow metrics this will give an apples-to-apples due of free cash flow for the year. And with that, I will turn it over to Ed.
Edwin Johnson: Thanks, Ned. Good morning, everyone. We had a great quarter and I certainly want to congratulate our operating teams on their success. As we go through our budgeting process for 2017, our focus now is on how we continue to improve? So I thought I will spend a little time today talking about some of the initiatives and focus areas. So first and foremost, we need to celebrate our successes. We did a little research and this was the best quarter on both in EBITDA and net income from continuing operations basis in 10 years. The farthest we could look back without doing a lot of accounting work. Our services improved, our pricing dynamics have improved, and the operational improvements from a well-thought-out fleet improvement plan have all contributed to the success. Add to this our highly successful strategy is demanding a return on investment on our recycling assets and educating the customers that this is a value-added service worth the cost. It's amazing what can be accomplished when you determine and focus on your core activities. We're fundamentally a must better company and poise to the next leg up. So what are we looking at for operational improvements going forward? Let me start with the landfill operations. This is a business for the cost of developing the site and building new cells has become more and more expensive and the markets are just now starting to accept improved pricing. Our focus is to get an adequate return on the investments we've made and continue to make, and we will do this by continuing to improve our price management and the efficiency of our placement and compaction activities at each site. Understanding the core of this business is very important to getting financial improvement, so I thought I'd explain a few fundamentals on how the business model works and how our costs are generated and profits were made. Of course we have environmental regulatory and engineering challenges to address every day and this is the rising cost of entry. Over the past two years, we’ve made substantial improvements in all three areas and have solid teams in place to help us develop future airspace in the best economic way, while protecting the environment. With the simple core of the business model, once you have the airspace is selling capacity on a first-come basis to fill space that is built on a per cubic yard basis. So the variables are price per ton and the ultimate cubic yards required to landfill those ton. Sounds simple, but it gets a little more complicated when you realize that not all material coming in is the same and operational approaches to compacting this material can greatly affect future cash flows, which translates into the timing of building new cells. So there are two key components for our strategy going forward, a differentiated pricing model and operational improvements designed to increase compaction. Differentiated pricing compensates for the differences in material and prevent non-dense or poorly compactable material from coming in so cheaply. As Ned mentioned, we improved our disposal pricing by 2.7% in the third quarter and most of the same from general market conditions, but differentiated pricing will play a bigger role as we move forward. The second component is our compaction equipment and technology. We have a long-term heavy equipment plan designed to put the most effective compaction equipment at each site, minimize any unplanned downtime of that equipment and minimize our long-term costs. We're also introducing improved technologies to assure the operators are as effective as possible in meeting our compaction goals and that we can better measure our performance. The collection operations are little easier to understand and we’ve talked about the key factors that linked on prior calls. We continue to focus on the fleet plan, which calls for standardizing equipment at the division level and increasing automation were possible. On improving the effectiveness of our maintenance shops to minimize both downtime and costs, pricing and customer profitability management and most importantly having strong management teams at every location and developing young talent for the future. Safety and service remain our top priorities as long as we stay. And as long as we stay focused on these, we believe, we will continue to enjoy a favorable pricing environment in most of our markets next year. Recycling is a great story for us. We may be the only ones in the industry there to getting an adequate return on our investment in this line of business during a difficult time in the commodity markets. But how do we get continued improvement? So this business is not just about charging an appropriate price for processing, high SF, our results were also affected by improving the effectiveness of our process. We can command premium pricing for cleaner material and minimizing the variable cost per ton process. Every year the management team provides us with ways to improve both effectiveness and efficiency, with incremental improvements for our technology supported by strong IRRs, which we track and we track the results, and prove out the investment the following year. This coming year is no exception as they’ve already come up with the recommendations and they look promising. Other areas of the business are also looking forward to continued improvement, which remains our theme internally with organics and customer resource solutions, both looking at ways to capitalize in improving markets in the Northeast, focusing primarily on driving volumes for our landfills, material processing facilities, and to our collection operations. Administratively we continue to invest in improvements to our processes and systems to do things more efficiently. So we had a great quarter, but there remains plenty of room for improvement. We feel we have outstanding operational management in place throughout the Company with a culture of positive engagement, to generate a great deal of internal excitement and drive to continue the process. With that, I'd like to turn it over to the operator for the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from Corey Greendale with First Analysis. Your line is open.
Corey Greendale: Hey, good morning.
John Casella: Good morning, Corey.
Ned Coletta: Good morning, Corey.
Corey Greendale: Congratulations on a nice quarter and all the continued progress. So, first of all I just wanted to ask about your near-term guidance, so …
John Casella: Thanks.
Corey Greendale: … so just setting a mathematical fact, the EBITDA guidance now for the full-year applies kind of a not insubstantial step down in EBITDA From Q4 of last year? I know that was a relatively easy weather quarter, last year, but can you get us anything else we should be thinking that would drive EBITDA down year-over-year in Q4?
Ned Coletta: Yes, Corey. We have put out conservative estimate for Q4. It does reflect EBITDA going down year-over-year for the guidance range. We did this for two reasons. One, which you just stated, we had a really great weather in the Northeast in Q4 of 2015. It was sunny, it was bright, construction continued within our operational challenges from ice snow, that the normal [indiscernible], so we believe there is easier comp. Also our landfill sites ran very strong this summer into early fall and we're covered by annual permit limit at our site. So we're exactly ramping down a bit in times as we get through the remainder of the year. But there is nothing off track with our pricing programs, our operational programs, everything is tracking exactly as it has been and we’re very confident in those elements with the quarter.
Corey Greendale: And in terms of that -- the point about the landfill, obviously that's something you can't control if you [indiscernible] had a good year today, but could you helps us think about that a little bit, the year-over-year impact of having to ramp down the landfills, how much that would hit EBITDA from last year?
Ned Coletta: Yes. So it's all blended together in our model where we’re looking at sensitivities that we have in -- we don’t have a number to give on that, but we will be ramping down tonnages and as you know incremental tons at landfills have very high margins. So as much as half of that delta is due to that ramped down.
Corey Greendale: Okay. And then on a similar note, just given the $11 million in cash interest saving sort of, mathematically it would look like, it would be pretty tough for you not to hit the 2018 free cash flow target in 2017? Maybe as part of the answer to this is what Ed was talking about some of the initiatives, but what should we be thinking about in terms of it? Could there be some substantial ramp up in CapEx for kind of temporary reasons that would offset, so that we should not expect that you would hit the 2018 range in 2017?
Ned Coletta: Yes, even I had this conversation right after we announced our refinancing. We are working on capital budgeting right now and we’ve a range of opportunities in our business to put a little bit more money to work to accelerate either say our fleet plan, we won a couple new contracts in, but we didn’t mention this earlier, but in early September we won three new large municipal contracts in Massachusetts, that will put a little capital to work and that will be a great growth opportunity for us. So I think our -- we're still working on budgeting for the year. That’s why we didn’t give a perspective for next year, but generally our perspective is, yes, we want to pay down more debt, we’re also looking to put a little bit more money to work in the business at high return.
Corey Greendale: Okay. And then on the point about residential, you broke out the price by different lines of business, I think you aggregated residential and commercial. Just curious what’s happening in residential specifically and if you’re seeing more competitive pressures there?
Ned Coletta: Give me one second. Our residential price was 4.3% and our commercial price 4.2%. They were right on top of each other. But we typically get a little bit more from our residential business, but as [indiscernible] very effective pricing programs in the commercial line of business and we’re seeing some of the best staffs there we seen in a couple of years.
Corey Greendale: Okay. Ed, just one more housekeeping and I will turn [indiscernible] just one more housekeeping and I will turn it over. If you want to discuss this offline that’s fine, but as you get to a point where you sort of it looks like sustainably net income positive, how should we be thinking about GAAP taxes and I think this could be quite of a lot of [indiscernible] paying cash taxes, but thoughts on that as well?
Ned Coletta: Yes, I need to look at the model a bit. From our standpoint, we’ve close to $80 million net operating loss. So we will not be a cash taxpayer until, say 2021 maybe, give or take a little bit, we’ve a large valuation allowance that will reverse at some point in time, so there will be a large pick up in net income in a period. But when we expect it to happen, it will give some guidance on that. As far as kind of coming into next year, I got to look at the models [indiscernible] will it be.
Corey Greendale: Okay. Not a problem, no.
John Casella: Ned, it will be a number of years before we’re going to be a tax payer.
Corey Greendale: Yes, understood. Again, nice work and thanks for the help.
Ned Coletta: Thanks, Corey.
John Casella: Thank you.
Operator: Our next question comes from Tyler Brown with Raymond James. Your line is open.
Tyler Brown: Hey, good morning, guys.
John Casella: Good morning, Tyler.
Ned Coletta: Good morning.
Tyler Brown: Hey, great quarter. Fantastic job on the execution, but Ned I’ve got to ask you, so when you guys laid out the goal back last year, you talked about kind of pro rata growth in '16, '17, '18, to get that high 20 EBITDA -- high $120 million EBITDA range. But given the really good traction this year, my guess is -- again, this is my guess that you guys are retracting towards the low end of that range in '17, but how should we start to think about the ultimate in game here? I mean, would that just a wrong on the ladder or should we still be thinking about that range for 2018?
Ned Coletta: Yes, I think we made a pretty unusual step as a Company last summer, when we gave three-year guidance and you know it was something we felt necessary to do in the proxy context and we wanted shareholders to speak, but we’re seeing and our Board was seeing and where some of our programs work. And it's really intention to roll the 2018 plan each year and we look forward - -as you said, we’re [indiscernible] really well attempted and there is some opportunity to beat it. But we sat around the table and discuss [indiscernible] we’re not going to keep on updating that plan. That’s not really our game plan, but you can see how well we’ve achieved against in the first year, that the interest savings are a bit better than we expected. So, we're in a great trajectory to hit that plan.
Tyler Brown: Okay. That’s very, very helpful. And then just quickly for modeling purposes, what is a good quarterly interest run rate post refine? How much of that will be cash versus non-cash, if any non-cash?
John Casella: Just take a second, Tyler.
Q - Tyler Brown: Sure. I think it maybe $8 million or so a quarter.
Ned Coletta: So cash interest, the run rate is $6 million a quarter, run rate about a 24 for the year, 23 to 24-ish range.
Tyler Brown: Okay.
Ned Coletta: The income saving interest is looking at about 27.5-ish.
Tyler Brown: Okay.
Ned Coletta: 27, 28.
Tyler Brown: Okay. All right, great. And then just real quick, again on the incentive comp, what is -- what are you guys looking for on that accrual? Is it going to be like a 120% of normal or what any color there, I mean, incentive comp for this year?
Ned Coletta: So, the vast majority of our managers in our Company are incentivized through a economic value-added. So I’d say improved EPA year-over-year to take at a share of that. And many of this managers are tracking very well against their -- with their bonus targets for the year. The senior management team is targeted on free cash flow and EBIT. Goals for the year and we're tracking very well into [indiscernible] disposal, very established, really building off to 2018 plan last year, and we're tracking towards very well today against this [indiscernible]?
Tyler Brown: Okay. That’s helpful. And then, John, I don’t want to [indiscernible] here, but I’m curious and simply confused, but what exactly is going on in the main waste market? How do you guys kind of envision yourself as a part of that [indiscernible] waste ecosystem in 2018 and beyond?
John Casella: With regard to -- from our perspective [multiple speakers] …
Tyler Brown: Yes, with fiber rising.
John Casella: Potential development. Well, I mean, I think that with the expansion that we’re amended permit and expansion is under review right now, which is 9 million cubic yard, which takes out to the end of the O&L [ph] agreement with the State of Maine to 2033. I mean, I think that there is the [indiscernible] technology is new technology, it's certainly -- potentially going to be in the market. Keep in mind that we’ve very limited amount of MSW that’s going to our Juniper Ridge facility today. We're limited by about, I think, it's about 80,000 -- approximately 80,000 tons. So there's a tremendous amount of waste that’s over 300,000 tons of waste that’s currently going to the PERC facility. So we believe that we’re going to -- we should be the beneficiary of some portion of that. But again, we're going through the permitting currently. There's going to be fairly significant disruption in 2018 and I think that will -- we will a play role in terms of providing services out into the future for some of those communities.
Tyler Brown: Okay. Now that’s very helpful. And just real, lastly on Southbridge. So I think I heard you correctly that you're expecting at -- was that 70,000 tons down this year?
John Casella: That’s correct.
Tyler Brown: And so your life is good through 2019 at the base run rate?
John Casella: At today’s run rate, we’re -- we will make it to 2019, not necessarily end of 2019, somewhere in …
Tyler Brown: Okay.
John Casella: … we’re getting -- we’re beginning to mid 2019 with current capacity.
Tyler Brown: Okay.
John Casella: And in all likelihood, Two Tier that we’re probably going to move it down again this year, even more than what we did in '16, we’re going to move it down in '17 as well to give ourselves a bit more flexibility from a timing standpoint with regard to permit.
Tyler Brown: Okay. That answer my question. All right. Thank you.
John Casella: You’re welcome.
Operator: Our next question comes from Joe Box with KeyBanc Capital. Your line is open.
Joe Box: Hey, good morning guys.
John Casella: Hey, good morning, Joe. How are you?
Joe Box: Doing good. Thanks. So just on the landfill pricing, one I just -- can you hear me okay by the way?
John Casella: Yes, we can hear you.
Joe Box: Okay, great. So just want to confirm on the landfill pricing side, are you actually getting price increases pushed through or are we seeing a little bit of a favorable mix issue as you guys flow controls from your landfills. And then, two, I’m curious, have you guys seen any impact from a more distant player in the Western region? Sounds like you got a nice increase in that market?
John Casella: I think that we’re clearly seeing a more disciplined player in the market. I think that there is a -- it is very clear terms of what the strategy is, I think they’ve been very clear about that strategy. I think that we were seeing very good pricing, particularly on the C&D side, in the Western region. So all in all, we're beginning to see positive impacts in terms of the marketplace, both from a pricing standpoint and also just overall discipline in the market.
Ned Coletta: And those specifics I gave earlier, Joe, those were not average price statistics, but they were actual price statistics, so there is no mix component there. So the 2.7% then on a same customer, same-store of that, that will be increased price year-over-year. So if you think about this, upwards 60% to 70% of our book of business is contracted. And many landfill contracts have CPI like increases, so on the un-contracted buyers respond contracts we are being much more aggressive than that level.
Joe Box: Sure. Okay, great. I appreciate that. That’s helpful. And then, Ned, just curious, obviously you guys gave an adjusted EBITDA guide back in September when you kind of introduced to that refi. So I’m curious what was maybe the difference between what you saw back then and what [indiscernible] to drive the increase again on that?
John Casella: Yes, we beat our numbers in September. So that was really the drive where we’re probably maybe even being a little bit conservative. It's somewhat difficult to -- just guiding a quarter. We are going out to market securities. We are doing a refinancing and we wanted to get adequate information to the public investors in the term loan about where our performance was, where we expected to be for the year, and we -- and we’re doing even a little better than we thought.
Joe Box: Okay. Got it. But the recycling businesses are just getting a little bit better, I guess, I’m curious, are we at the point where you’re starting to share in profit with some of your customers or are we at the point where it's turning profitable, but yet it's not hitting some of those thresholds where we actually have to share with the customer, any color would be [multiple speakers] …
John Casella: I think that the way to look at it is, base of it was happened, Joe, is, with the SRA fee, the SRA fee, the cost commodity prices have come back. And again, keep in mind, they’re not back to -- they’re still 40% below where they were a couple of years ago. Both prices have some back, which means that our fee has gone down and we will continue to go down as net [ph] pricing continues to improve, then the SRA team will continue to put down and it could go to zero.
Joe Box: Okay. Got it. That’s it from me. Thanks, guys.
Edwin Johnson: Okay. Thank you.
Operator: Our next question comes from Michael Hoffman with Stifel. Your line is open.
John Casella: Hey, Michael.
Michael Hoffman: hey, John. How are you doing?
John Casella: Doing terrific, how are you?
Michael Hoffman: I can't complain. I’m in [indiscernible] in Virginia.
John Casella: Okay, perfect. Pretty nice at here too in Vermont, not too bad actually today.
Michael Hoffman: You have good colors.
John Casella: Yes, little sun, which is nicely, don’t need to -- we need to rain, but we don’t need to rain from a landfill construction standpoint though.
Michael Hoffman: We need rain in Virginia, unfortunately.
John Casella: Yes. I think everywhere.
Michael Hoffman: So, yes -- on Southbridge, a couple of questions with regard to that. [Indiscernible] towards the permit, is currently about 405,000 a year. So of that 405,000 how much do you actually have to play with at your discretion, be able to manage the timing of this permitting process?
John Casella: Well, we push at about 60,000 to 70,000 tons in '16 and we’ll probably push out more next year to give ourselves more flexibility from a permitting standpoint. So do you have specific numbers?
Ned Coletta: We are running about 315,000 tons [technical difficulty].
John Casella: Yes, about 300 now, we move down a little bit more next year, Michael, to give ourselves more time.
Michael Hoffman: So basically there is about 300 that’s under contract and you got a 100 to play within your [indiscernible]?
John Casella: No, I wouldn’t characterize it that way. I think that what we’ve done is to push down -- I think we can push down more to the extent that we wanted to.
Michael Hoffman: Okay. Just pretty good [indiscernible] isn't there any emphasis [indiscernible] into the community?
John Casella: Very positive. Positive yes.
Michael Hoffman: Yes, while I get the political backdrop of the previous governor who wanted to go to your landfill and all that, the current governor is favorable, and all the people who have showed up they don’t even belong to the community, but that [indiscernible] is a big deal of the community. So it would be a pretty meaningful political negative for somehow …?
John Casella: It really would obviously. We're a very big contributor to the overall budget for the community and that we’re a very participant. So with is very meaningful. And so clearly it will be very difficult without the facility for the talent [ph] for sure.
Michael Hoffman: Okay. So switching gears from that perspective and Ned talking, I guess, cancelling, modifying the target, but think about it different way, the 18 target with the established base for credibility around thereafter generate [ph] [indiscernible] now that your refinanced into the term B, how do I think about the pace of the delevered?
Ned Coletta: The pace we’ve been hitting at a pretty fast pace over the last year Michael. So, whether we’ve to finish our budgeting for '17, but we do have another light-year as we talked about earlier, we have lower cash interest cost that they’re lower than we expected in that plan.
John Casella: Yes, and nothing has really changed, Michael, I mean, the vast majority of our free cash flow is going to go to pay down debt and the great job that Ned and the finance team did on the financing, allows us to pay that debt down with the term loan B. So, the vast majority of our free cash flow is going to go to making sure that we need or exceed our 18 plan.
Michael Hoffman: So [indiscernible] it looks like you will be below three times, sometimes in or at least exiting 2017?
Ned Coletta: I don’t think we are quite capable of free time spend. So, we [indiscernible] a little bit on that range with the refinancing. So we added Q3 at 4.23x and with the refinancing in all the various fees and [indiscernible] 4.4. So we've been deleveraging at a pace of about 0.9 turn [indiscernible] a year. So that puts us into the mid 3or maybe high 3s in 2017, if your pro rata improve. So we’re running a little bit ahead of our plan, but we’re still very committed to deleveraging and end goals, as John said, focused free cash flow in that area.
Michael Hoffman: Okay. That’s very helpful. And then, underlying -- I have a volume question in the context of the -- on a same-store basis, the vast majority of business is showing from normal level of volume growth in the collection point. Is that an accurate statement?
John Casella: Yes. But one of the things we’ve really focused on Michael, is moving away from customers where we are making a process for decent margins. So we’ve improved the quality of our revenue versus focusing on the revenue growth. That’s the major driving piece.
Michael Hoffman: Of the volume? Yes, I got that.
John Casella: Yes.
Michael Hoffman: That’s fine. If I stripped away you forces the turn. You’re going to pay me good margin or I don’t want to do it, service sale. That all of the rush [ph] of the business for showing asset volume?
John Casella: It depends on the market. So, in our growth areas, [indiscernible] are having positive volume growth in and the Up State New York markets, less volume growth.
Edwin Johnson: We are still on a positive -- we are slightly positive.
John Casella: Yes, slightly positive.
Edwin Johnson: Not negative, certainly. But not as positive as we are seeing in some markets.
Ned Coletta: And then we [indiscernible] landfill to be [indiscernible] the Marcellus and the Southbridge, we’re very positive representing [multiple speakers].
Michael Hoffman: So up a 100,000 tons, right. And if you -- and if I focus the just on MSW in those between both your own trucks and the third-party is still [indiscernible], while the growth of the economy slow and consumers on this flow, they’re still positive trend that’s translating into volumes for your business model.
John Casella: Yes, correct.
Michael Hoffman: Okay, right. And then in your current price that you report, $2.3 million. When I think about transferring to 2017 and beyond, are there any one-time fee, the numbers that you anniversaried, I have to think about the context of what you’re reporting or [indiscernible] more specifically, should we be comfortable here at positive 2% for the foreseeable future in this economic background?
John Casella: Yes, there is about 40 basis points in that number today relates to the SRA fee. So giving a little bit [indiscernible] every customer, that’s gone on. [Indiscernible], stay, but there is still a timing in that number, the [indiscernible] generally good.
Michael Hoffman: And fully anniversary of that 14 patents by when?
John Casella: That happens in Q1 '17.
Michael Hoffman: 1Q '17. Okay. All right. So if we would see a -- something in a 17 to 19 price [indiscernible]. That’s -- its not specifically [indiscernible] oh my gosh giving a price, that’s the underlying normal rate, unless you’ve improved your core going into that.
Ned Coletta: Yes. That’s fair. We haven't said to our budgeting for '17. We are working on strategies to market and working through our book of business.
Michael Hoffman: Fair enough, but we also shouldn’t interpret, your pricing is going down. That's the ongoing base rate and you’re continuing to trying to walk it up.
Ned Coletta: Yes, that’s correct. Yes.
Michael Hoffman: Okay, All right. That’s what I was looking for. Thanks.
John Casella: Thank you, Mike.
Michael Hoffman: Yep.
Operator: [Operator Instructions] And I’m showing no further questions at this time. I’d like to turn the call back over to John Casella, for closing remarks.
John Casella: Thank you. Thanks everyone for your attention this morning. We look forward to discussing our fourth quarter earnings with you in early March 2017. Have a great day everyone. Thanks.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect. Everyone have a great day.